Operator: Good day, ladies and gentlemen, and welcome to The Andersons, Inc. 2013 Fourth Quarter and Yearend Earnings Conference Call hosted by Nick Conrad, Vice President, Finance and Treasurer. My name is Bhupendra; I will be your event manager today. During the presentation, your lines will remain on listen-only. (Operator Instructions). And now I would like to hand the conference over to Mr. Mr. Nick. Please proceed, sir.
Nick Conrad: Good morning, everyone, and thank you for joining The Andersons, Inc.’s 2013 fourth quarter and full year conference call. I want to put out that all earnings per share data we are reporting today is closed are 3 for 2 two stock split. For instance, we will report post-split earnings per diluted share of $3.18 for 2014, apparently earnings per diluted share would have been reported at $4.77 pre-split. For the fourth quarter, we will report post-split earnings per diluted share of $1.08, although this would have been reported at $1.62 per share before the split. We believe that our fourth quarter performance modestly beat the consensus analysts’ expectations. We further believe that our full year performance exceeded most of the analysts’ expectations. Following this call, we will be issuing a clarification to the news media. We have included a slide presentation that will enhance our talking points this morning. If you are listening and watching this presentation via our website, the slides and audio are in synch. For those listening via telephone and watching the webcast, you should follow directions sent to you in order to synch the slides and audio. This webcast is available through the Investors section of our website at www.andersonsinc.com. The webcast is being recorded and will be available on our website. Certain information discussed today constitutes forward-looking statements. Actual results could differ materially from those presented in the forward-looking statements as a result of many factors, including general economic conditions, weather, competitive conditions, conditions in the company’s industries both in the U.S. and internationally, and additional factors that are described in the company’s publicly filed documents, including its 34 Act filings and the prospectuses prepared in connection with the company’s offerings. Today’s call includes financial information for which the company’s independent auditors have not completed their review. Although, the company believes that the assumptions upon which the financial information and its forward-looking statements are based are reasonable, it can give no assurance that these assumptions will prove to be correct. On the call with me today are Mike Anderson, Chairman and Chief Executive Officer; Harold Reed, Chief Operating Officer; and John Granato, Chief Financial Officer. Mike, Hal, John and I will answer questions you have at the end of the prepared remarks. Now, I’ll turn the floor over to Mike for an opening comment.
Mike Anderson: Thank you, Nick. The company had a strong year in 2013 and a record fourth quarter. The Ethanol Group had record operating income both the year and the quarter as they benefited from strong ethanol margins. The Rail Group nearly matched its record 2012 results even with the $4.3 million decrease in gains on Railcar sales. The Turf and Specialty Group had a record year which is more than doubled the prior year results. Despite the unfavorable impacts of the 2012 drought, the Grain Group had a good result in part due to strong earnings of Lansing Trade Group. The Plant Nutrient Group also had good results as they are professionally managed through a nutrient price reset. We are also proud of the fact the Company paid the 69 consecutive quarterly dividends on January 23. The dividend has increased to approximately 50% the last two years. Before we review the performance results, I would like to highlight some 2013 accomplishments that demonstrate the Company’s continued commitment to growth. In July, Thompsons Limited was acquired in a 50:50 joint venture with Lansing Trade Group. Thompsons owns and operate 12 elevators on interior Canada which are coal located with agro products retail operations, two seed processing plants, five bean cleaning plants and weed cleaning plant. The principal business is the origination, storage, cleaning and merchandising of corn, soybeans, wheat and dry bean as well as providing growers with inputs in agronomy services. Growth was also seen in Rail Group, the assets of Mile Rail were acquired in August which included three new Railcar repair locations, 12 ladder trucks for car repair and cleaning and storage were up to 300 Railcars. Rail Group also opened its newly constructed Railcar Paint facility in Maumee, Ohio during the year. At the end of 2013, The Turf and Specialty purchased the assets of the Cycle Group; this North Carolina business included a granulation plant and patents relating to both cat litter and granules used in the insecticide market. As always we continue to explore additional expansion and acquisition opportunities. As Nick mentioned earlier, recently announced the 342 stock split, although the split will not be finalized until next week, we are already reporting our earnings per share as required, utilizing shares outstanding which will result from the split. I will now turn this over to John who will provide details of the total Company results.
John Granato: Thanks, Mike and good morning everyone. The Company generated net income attributable to the Andersons Inc. of $89.9 million in 2013 or $3.18 per diluted share on revenues of $5.6 billion. In 2012, net income was $79.5 million as reported or $2.82 per diluted share on revenues of $5.3 billion. The most significant year-to-year increase in revenue relates to Grain business whose revenues have increased primarily due to greater sales volume. The higher volume as reported from growth which includes the Anselmo train loading facility that opened in August of 2012 and the Green Plain Grain acquisition which was completed in December of last year. The Company reported net income of $30.7 million in the fourth quarter or $1.08 per diluted share on revenues on revenues of $1.6 billion. In the same three months of 2012 net income of $15 million as reported or $0.53 per diluted share on revenues of $1.7 billion. Now to non-GAAP measure, EBITDA, earnings before interest, taxes, depreciation and amortization. The Company’s 2013 EBITDA was $219.9 million, an increase of $24.7 million from 2012. For the fourth quarter EBITDA totaled $65.5 million compared to $42.4 million for the same period last year. Equity and earnings of affiliates, which excludes net income from non-controlling interest was up $52.2 million and totaled $68.7 million for 2013. The positive year-over-year change was driven by an increase in income from the Company’s investment in the Ethanol LLC and Lansing Trade Group along with Thompsons joint venture. Equity and earnings of affiliates for the fourth quarter totaled $28.7 million, compared to $1.1 million for the same period in 2012. The Company’s full year 2013 interest expense totaled $20.9 million, down $1.3 million from last year. Year-to-date interest expense has decreased year-over-year primarily due to lower short-term borrowing driven by lower grain prices and lower grain market volatility. In the fourth quarter, interest expense totaled $4.3 million, a decrease of $1.7 million from last year. The Company’s 2013 effective tax rate was 36% down 1.1% from the 2012 rate of 37.1%. The decrease in the effective tax rate was due primarily to income attributable to the non-controlling interest that do not impact income tax expense which was then partially offset by correction made in the first quarter with respect to the accounting for the other comprehensive income portion of the Company’s retiree, healthcare plan liability in Medicare Part D subsidy. We are projecting our 2014 tax rate to be 36.3%. The bridge in this next graph demonstrates which Group’s 2013 income is up or down in comparison to the prior year. The specifics behind these differences will be detailed as each Group’s operating performances is discussed. Therefore to better understand the total company results, Hal will walk you through each of this six business groups.
Harold Reed: Thanks, John. One quick correction early in his commented John noted the 2012 revenues as $3.5 billion actually have been $5.3 billion, simple correction there, all right. The Ethanol Group’s full year result was exceptional. A record operating profit of $50.6 million, in 2012, the Group has an operating loss of $3.7 million. The higher income is the result of significantly increased earnings from our investments in the ethanol limited liability companies. The LLC were positively impacted by higher ethanol margins, which in part resulted from solid ethanol export demand and lower corn costs. The Group further benefited from service income and from increased sales of corn oil, E-85 and distillers dried grains. Total revenues for the year were $832 million; in comparison the Group’s revenues for 2012 was $743 million. Revenue increased due to increase in both volume and the average price per gallon of ethanol. The majority of the volume increased was due to the addition of Denison Iowa facility in May of 2012 as well as efficiency gains at the plants. The Ethanol Group had its best quarter ever in the fourth quarter with operating of $26.6 million on revenues of $197 million. During the same period of 2012, the Group incurred an operating loss of $800,000 on revenues of $215 million. The ethanol team worked diligently to simultaneously optimize margins, yield, and production rate and co product sales. The ethanol plant continues to make productivity improvements with another record production year in 2013. Now let’s discuss the Grain Group. Its operating income was $46.8 million in 2013, in the prior year the Group had operating income of $63.6 million. The group had considerably lower space income in 2013, in large part due to the lingering effects of the 2012 drought. The Group did however benefit from strong Lansing Trade Group earnings and an increase bushels sold. Total revenues for the Grain Group were $3.6 billion in 2013 and $3.3 billion in 2012. Despite declining grain prices revenues increased due to greater sales volume. This volume increased was primarily due to strategic growth during 2012, specifically Anselmo train loading facility was opened in August, 2012 and 12 former Green Plain Grain locations in Iowa in Tennessee were added at the end of 2012. For the fourth quarter, the Grain Group’s operating income was $22.1 million on revenues of $1.1 billion. This compares to $18.1 million in the same period of the prior year on revenues of $1.2 billion. Space income this quarter was lower than originally anticipated due to a market inverse that lasted well into October which negatively impacted basis income during the harvest season. Quarterly revenues for the Group declined in the fourth quarter as the average grain price decreased of almost 24%. Storage capacity of the Grain Group decreased slightly to approximately $139 million bushels. The Thompsons Limited joint venture did not increase reported capacity as it is not consolidated and is accounted for as an equity investment. The Rail Group achieved operating income of $42.8 million which was just shy of its record operating income of $42.8 million in 2012. Gross profit from the leasing business was higher than the prior year due to both higher lease and utilization rates. The overall utilization rate for 2013 increased 1.5% to 86.1%. The group recognized $19.4 million in pre-tax gains on sales of Railcars and related leases and non-recourse transactions. In 2012, the Company recognized gains of $23.7 million on similar transactions. Rail Group revenues of $165 million for 2013 were higher than the $156 million reported in the prior year due mainly to increased leasing revenue. The Rail Group had operating income of $6.2 million in the fourth quarter on revenues of $32 million. In 2012, operating income for the same three month period was $8.6 million on revenues of $29 million. During the fourth quarter the Group recognized $3.5 million in gains on sales of Railcars and related lease and non -recourse transactions compared to the $1.5 million recognized last year. In the fourth quarter of 2012, the Group also received a $2.8 million lease settlement. The average utilization rate for the fourth quarter was 88.2%, up 4.4% from last year. The Group now has 22,700 cars and locomotives which are down approximately 600 cars from its year earlier total. 0:07:58.0, a3. The car total is down as the Group has both swap some cars and sold some cars outright as part of their Railcar optimization strategy. The Plant Nutrient Group had operating income of $27.3 million in 2013 on revenues of $709 million. In a prior year, the Group’s operating income was $39.3 million and revenues were $797 million. Margins in 2013 were lower than the prior year due to flat to declining nutrient markets, but were still solid. In 2012, margins benefited from significant nutrient price appreciation. Volume for 2013 was lower as customers appeared to be purchasing nutrients as needed due to volatility in the market and anticipated lower nutrient prices. Fourth quarter operating income for the Plant Nutrient Group was $6.2 million on revenues of $171 million. In the same three month period of 2012, the Group reported $4.7 million in operating income on revenues of $178 million. Increased operating income in the quarter was due to higher volume as the Group recaptured some of the third quarter volumes short fall. The Group effectively managed its nitrogen phosphate and potassium ownership positions throughout the year even as the nutrient market was resetting. Storage capacity of the Plant and Nutrient Group increased to 888,000 tons from 870,000 tons in 2012 due to the building and expansion of both dry and liquid storage. The Turf & Specialty Group had record full year operating income of $4.7 million on $141 million of revenues. Last year, the Group had operating income of $2.2 million on revenues of $131 million. The Turf business had relatively flat volume that benefited from increased gross profit per ton and decreased expenses that resulted from operational improvement made last year. The cob business invested this year in plant improvements at the Mt. Pulaski location which are expected to be pay dividends in the future. During fourth quarter the Turf and Specialty Group incurred an operating loss of $1.4 million on revenues of $23 million. Last year, the Group reported the loss of $1.2 million on $21 million of revenues during the same period. The Retail Group’s full year operating loss of $7.5 million in 2013, which included $4.7 million in one-time costs? In the prior year, the Group’s operating loss was $4.0 million, which included $1.1 million in one-time cost. Excluding one-time items, the Group’s operating results were consistent with the prior year. Total 2013 sales for the Group were $141 million compared to sales of $151 million in the prior year. During the fourth quarter, the Retail Group had an operating loss of $3.9 million, which included a $3.9 million in asset impairment charges on two stores. Last year during the same three month period the Group’s operating loss was $900,000, $1.1 million of which related to cost associated with the closing of the Woodville store? Fourth quarter revenues were $37 million and $41 million in 2013 and 2012 respectively. Now, I’ll turn the floor back to Nick for the treasure’s report.
Nick Conrad: Thanks, Hal. At the end of 2013, net working capital was stood at $29.5 million, a decrease of $74.8 million from last year. Current assets totaled $1.2 billion at yearend, a decrease of $75.4 million from the same period of 2012. This change was driven by $161.8 million decrease in inventories, along with the $34.9 million decrease in account receivable and $31.8 million decrease in commodity derivative assets current. The change inventory is primarily result of lower grain prices as well as lower grain inventories. Cash and cash equivalents end of the year at $309.1 million, an increase of $170.9 million year-over-year. Our current assets increased $166.6 million, year-over-year driven principally by a $100.2 million increase in equity method investments. As a result, total assets at the end of the year were $2.3 billion, an increase of $91.3 million from last year. Current liabilities at the end of the year were $992.3 million which was similar to the prior year. And yearend the company no borrowings under the short-term portion of the line of credit, this is decrease of $24 million in 2012. The average short term borrowing interest rate for 2013 was 1.9% which is down from the previous year’s rate of 2%. Long-term debt end of the year at $375.2 million, a decrease of $52 million from 2012. At the end of 2013, the Company had no borrowings under the long-term portion of line of credit. This is a decrease of $25 million from last year. The average long-term interest rate for 2013 was 4.5% which is down from the previous year’s rate of 4.7%. The long-term fund to debt equity ratio was 0.5 to 1 on December 31, down from 0.7 to 1 at the previous yearend. Total committed lines of credit under the Company’s syndicated facility remained $850 million, of which $735 million are short-term and $150 million are long-term. Total equity on December 31, was $724.4 million, an increase of $130 million from the prior year. Mike will now make a few comments before we take questions.
Mike Anderson: Thank you, Nick. Today, I would like to provide an outlook for 2014. First our Agricultural Group should benefit from the record corn crop seen in 2013 and the anticipated sizable corn crop in 2014. We expect improved results for both our Grain and Plant and Nutrients Group. The Ethanol Group still seeing good margins. However, they are not at the level seen in late 2013 but they were well above the margin seen in the first half of 2013. The ethanol market is volatile making future margins difficult to predict. We anticipate our Rail Group having a great very good, but gains on sales are expected to be lower from the last two years. We expect Turf and Specialty Group to continuing its earnings growth trend. We are quite proud of the results our Company has achieved. Last year we have worked through the most severe drought in 60 years, fact that we have achieved such strong aggregate results speaks well for the strength of our diversification strategy and business model and the resilient of employees. That concludes our prepared remarks. Hal, John, Nick, and I will now be happy to answer any questions you may have. Bhupendra, we’ll turn it back to you.
Operator: (Operator Instructions). Our first question comes from the line of Farha Aslam from Stephens, Inc. Your line is open.
Farha Aslam – Stephens, Inc.: Hi, good morning. And couple of questions starting out with grain. In the prepared remarks you highlighted inverse that affected the first half of your quarter. Now coming back into the first part of 2014, do you expect that to reverse? And just any commentary regarding farmer selling and opportunities in grain.
Harold Reed: Thanks, Farha. Yes, the inverse did persist from the old crop into the new crop a little longer I think they are most expected at which as you said earlier on. We did go back to carry in the market place by the end of October roughly, not the same size carry I think people may have expected with the size of that crop. Farmer selling has been a little bit slower I think in the past year, they have gotten used to selling $6 and $7 corn and $4.50 to $5 corn is exciting. Also the weather the past few weeks across lot of the Midwest had slowed down quite a bit and Railroad performance has been a little bit top as well. I will tell you this the farm beans are pretty full and we are seeing a relatively good price as we get into our Feb averaging for our crop insurance levels for 2014. So we expect to see opportunities continue. The carryout for corn is still expected to be around 1.5 billion bushels which is a pretty sizable carryout and should help put some carry into the market place.
Farha Aslam – Stephens, Inc.: Thank you. And then on to plant thing you highlighted that you expect a good corn crop or a good crop in 2014. Could you comment about Plant Nutrient applications and acres planted for 2014?
Harold Reed: Yeah, the acres planted numbers I would tell you in a range of about 93 million to 97 million acres of corn depending on whom you talk to. We are kind of estimating 93 million to 94 million internally. The ranges have been wired and that’s a pretty sizable planning of corn acres. Nutrient prices have reset over the course of the fourth quarter or really over the course of lot of last year to fairly reasonable levels, lower levels than we have seen recently and so that actually has started to turn around just slightly. We started to see prices again starting to move up just slightly on the nutrient side. So given the lower price levels that existed at the beginning of this year and that expectations for around mid-90 million acres, we expected it to be pretty good spring season.
Farha Aslam – Stephens, Inc.: Great and just two more questions. First on ethanol. You had a very good quarter in the fourth quarter kind of looking out into the first half versus second half, any color you can provide about profitability levels and what levels you are hedged in that that will be helpful.
Harold Reed: Yes, Mike’s comments were pretty good summary level of commentary that while the margins began 2014 good they are not as good as the end of 2013 but better than the first half of 2013 so I think those comments summarized where we are pretty well and for the most part I think as you heard across the industry it is pretty much been spot market for margins in the ethanol business. So it’s hard to predict in going forward.
Farha Aslam – Stephens, Inc.: And then my last question relates to your sort of other incorporate. There is sort of $4 million bump, a4, in the fourth quarter, what was the key driver of that bump?
Harold Reed: There are couple things there Farha. Let me just grab my sheet here, there is primarily due to Denison though and Denison flowing through for the full year here.
Farha Aslam – Stephens, Inc.: And so is that a good rate for us to continue anticipating?
Harold Reed: What’s your question –?
Mike Anderson: Farha – we just make sure we heard it right.
Farha Aslam – Stephens, Inc.: Okay, we just wanted to make sure if so we are planning forward or modeling forward corporate we should keep it at 2013 levels or 2014 is that a fair assessment?
Harold Reed: The question is about corporate levels of expenses. This is a good proxy that is what you are asking Farha?
Farha Aslam – Stephens, Inc.: Exactly.
Harold Reed: Yes, I think it is relatively good proxy.
Farha Aslam – Stephens, Inc.: Great, thank you very much.
Operator: (Operator Instructions).
Unidentified Analyst: Hi, can you hear me?
Operator: Yes, please go ahead, Ken.
Andrew Strelzik – BMO Capital Markets: Hi, this Andrew Strelzik in for Ken. Good morning, everybody. So obviously you had some headwinds with base income in the quarter. It sounds like you are starting to get a little bit better but still in the quarter you did about an over $0.40 a bushel in terms of profitability which is towards the high end year normal range. So also you made comments about the corn crops, so I am just wondering as things normalize in terms of space income and if you get a good crop next year, are we entering may be a two year runway where you could have a grain margins per bushel towards the high end or even above at $0.50 level?
Harold Reed: Yes, thanks, good question. Two points. First of all there is little bit of influence on Lansing number is that calculation you made that takes a little high but that’s just one point. But you asked primarily about the kind the two year look going forward. And I think we have talked about this may be in the last couple of conference calls it really is at $1.5 or so billion bushel will carry out it really is the second good crop that makes the large change in storage basis appreciation and spreads going forward. So we would anticipate that the runway is positive based on the potential of normal crops would be 93 to 95 million bushel – 93 to 95 million acres planted so yes.
Andrew Strelzik – BMO Capital Markets: Okay, great and if I stripped out from the Rail segment that the gains that you got on the sales it would come in a little bit below we would have anticipated at what you have been doing over the last couple of quarters. Just wondering if there is anything in the quarter that caused or is there anything you can talk there?
Harold Reed: I don’t see anything that would notably impact that. I don’t think it is substantial amount below the previous. We did – go ahead Nick.
Nick Conrad: Well, I would think the more meaningful metric there is utilization at the end of the quarter and I will just kind of leave it there.
Harold Reed: We did have a Mile Rail start up in the second half of the year. It might have been some expenses with the new startup and those changes but there wasn’t any that substantial in those numbers.
Andrew Strelzik – BMO Capital Markets: Okay, so nothing to worry about there.
Harold Reed: Yeah. There was as I mentioned there was the one time recovery last year $2.8 million for settlement or lease settlement, that was in fourth quarter last year that may have been impacted the numbers you are looking at little bit.
Andrew Strelzik – BMO Capital Markets: Okay. And then last obviously a lot of cash in the balance sheet and you are selling some of the stake in Lansing, just wondering how do you think about allocating capital going forward?
Harold Reed: Capital allocation, well, we continue to refine our allocation model focusing on the grain, rail, plant, nutrient areas along with ethanol and we continue to see lots of opportunities but we are going to be disciplined, we built all our analytics from the bottom up and as we see opportunities we will take those opportunities.
Mike Anderson: I would answer that. As we went back the year ago December when we just closed on Green Plains which is pretty sizeable and finish the year our long-term debt equity was above what – 0.7 and another Thompsons was just cropping up again that in terms of exactly how we are going to approach. So we – actually we are going to kind of been up to may be just hang of feel little better from that acquisition but I will tell you with the 50:50 venture we had a really good year cash generation and we do have – we do continue to work on pipeline for acquisition, but we are not going to grow for the sake growth. We are going to continue to look for the opportunities, in the manner consistent what John said. And just nice to have what I call – what I call may be dried powder is not the right word but traditionally –
Andrew Strelzik – BMO Capital Markets: Understood, thanks, I really appreciate it.
Operator: Next question is from the line of Brett Hundley from BB&T Capital Markets. Please go ahead.
Brett Hundley – BB&T Capital Markets: Hi, good morning, gentlemen. By my measure your grain business was actually towards the low end of what you do historically in Q4 from a profit for bushel standpoint and you guys talked about the inverse, you talked about may be some slower farmer selling but if I am right on that if you kind of rip those out, would you have been around your historical average otherwise?
Harold Reed: Yeah, I would tell you that as you look – if I just select the inverse and let that change did the basis levels of early acquired bushel and then the resulted basis change from the end of October through the end of December I would tell you that we would be much more in that normal range if I extract the event of the drought and that inverse right.
Mike Anderson: And you are absolutely right in that conclusion that we are on the low – some just low end of the range on that side if we stood out Lansing, if you were just – Plains Green
Brett Hundley – BB&T Capital Markets: Okay, I just want to make sure that working of the credit number. And so may be – is it fair to say then that may be some weather, farmer holding etcetera during January but may be some of those conditions have eased up a little bit. I mean how you talked to it, how pricing has become little bit better here. Is that a fair statement do you think?
Harold Reed: Well, it’s clearly been the slow start for all the regions you mentioned. But on the other perspective our export number have been quite for the control of country so we are looking forward to getting out of the freeze and getting things started. And the other thing that is notably different is that weed spreads have geared up substantially even the front end gone just slight inverse series and like. So that probably other big change here as we get into the 2014
Brett Hundley – BB&T Capital Markets: Okay. And then Mike or Hal, I just wanted to ask are you guys surprised at all by ethanol today? And the reason I asked that is we saw a little bit of flow in there you can even call it that a sequential drop in margin during January but actually by my measure ethanol margins have come back pretty solidly here during the early part of February, they are looking pretty close to the levels that we saw at certain points during Q4. So my point is ethanol has continued to be very strong, prices are very strong and everyone talks about may be the ideal capacity that sitting on the sideline the potential for that come to back and so I guess I am just curious to get your thoughts on if you are surprised at all their profitability has remained strong and just how you think about over the near term?
Mike Anderson: One thing I must talk about, this is Mike and Hal could try that but either capacity we believe is mostly back, although there is at the end of the weather shutdown and normal shutdown and what not, so in a supply side it might can bring on the supply side were up near the top of what we can although if you look for daily production I think it suggest there is little more room to produce more, the demand side is pretty static at 10%, okay you got demand and this impact 5% or 10% of highway gas, it is probably 200 but the big thing that’s added to that is the export market. And if you look at kind of base as we are coming into the harvest and before you consider export so it’s little concern that with over corn you bring back capacity and you produce more ethanol that’s needed domestically and more ethanol – and to consider about the mandate that would be handled. Then you bring in an export demand that is because of really I guess a pretty simple situation low price corn result in low price ethanol in the world market, that’s a good story right now and their assessment margins here in Jan and February, I don’t know money at – – the big negative supply is natural gas and I think just what it did in spot cash market had a negative impact but the base margin is quite healthy. Hal?
Harold Reed: Good summary. I do think that the only high oil capacity out there is pretty much the French stuff and since the margin looking forward on and up again anybody to come in to the mark for a long term deal is hard to suggest that would come back on any time soon. It has been shut down for a while. The export market is the key. Key ethanol makes us attractive all around the world for people are using ethanol. And we are selling ethanol profitability well below $2 a gallon and gasoline in the United States is well above $3 and around the world much more than that; it is great source energy so we feel pretty good about it.
Brett Hundley – BB&T Capital Markets: Okay, I appreciate these comments. And how –
Mike Anderson: Let me also add we feel real good about it. Let’s look at the last five years. It is one real volatile industry so – forecast is not very far.
Brett Hundley – BB&T Capital Markets: On Plant and Nutrient how you – you talk about some benefit from the Q3 volume movement may be in the Q4 and I had plan to ask about that I was just curious if you can may be quantify just may be how much of an impact that was? Did it really benefit Q4, was it more of a modest help?
Harold Reed: It was just the modest help; it was one of the factors that are all. We did mention a short fall in the volume in Q3 and this was something portion of that coming back timing was, that’s all.
Brett Hundley – BB&T Capital Markets: Okay and then just my last question is on I read that spot railcar quotes have been excellent just given poor weather in the Midwest and I was just curious how much of your business is done spot and if that’s positively impacted you guys year-to-date?
Harold Reed: Yeah, I would say that’s a very small sliver what we do in a most of our cars are on a long term deals which is how we manage the entire portfolio of the business so there is few opportunities but it’s not substantial but you are right that is because of rail road traffic problems, there have been some spot numbers that have been paid pretty high.
Brett Hundley – BB&T Capital Markets: Okay, thanks so much guys.
Operator: Thank you. The next question is from the line of Eric Larson from CL King. Please go ahead.
Eric Larson – CL King: Yes, good morning everyone. Couple of basic startup questions. First of all, was there any – could you explain the rational of the sale your sale of the – your that percentage of Lansing, obviously you got a good price, is there anything more to the rational of reducing your ownership position in Lansing?
Harold Reed: No, I think as we mentioned in the separate release about that, gave us a change to monetize a small portion, remains still a very large owner and it has been a great run, we have just done a venture with them up in Canada with Thompsons so I think we cover all those points, it is pretty much all there is to it.
Eric Larson – CL King: Okay, so you basically got your investment now you are just planning with health money?
Harold Reed: You said that Eric.
Eric Larson – CL King: Okay, well, I thought I will try to push at least some flavor on it. The second question I have is guys you normally have been very aggressive over the years of hedging forward and hedging, locking in your margin. Have you locked in your ethanol margins? Or you still have opportunities to do that? I am assuming you have or you still staring on a spot basis for your ethanol margins?
Harold Reed: Yeah, I would tell you that. Other than the nearby couple weeks it has been very difficult to lock in anything like spot margins or probably to last 60 to 90 days. Deferred margin out more than just a couple of weeks or/and have been dramatically lower since probably Thanks Giving. So it is very hard to locking anything forward. We do have some opportunity this time to lock in a week or two or so and some local demand that changes may be in couple of locations but in general it is very difficult to get anything forward.
Eric Larson – CL King: Okay. The next question is also based on ethanol. If you take your $51 million of EBIT performance in 2013, if you just break that up between basic market fundamentals i.e. better ethanol pricing lower corn cost and your increased contribution from investment, how would that breakout? What portion of that $51 million would be from just your increase assessment exposure to the industry?
Mike Anderson: Eric, our last increase investment was Denison which would in spring of 2012 so yeah 2012 correct yes –
Eric Larson – CL King: So you would anniversaried all of that?
Mike Anderson: Yeah, we were correct in the last six months. And at that point in time – that negative margins so letting capacity bring us anything, that was more of view of the future wasn’t get better relative to what we paid so yeah we would have be anniversary that and so the – we have done, we continue to do things to tweak production little more juice but it is fundamental in margin. I mean the vast, vast, vast majority of increase is several margin.
Eric Larson – CL King: Okay and then a question on the grain side. I mean obviously the second crop this year, if we have just – if the Lord is willing to give us a halfway decent normal crop again this year, it could be a very interesting year for you folks. When you go back to 2011, you had profit in that business of about $87 million. Now I think in 2011 you had really high wheat storage, extraordinarily high non repeated wheat stores in coming 2011, so we kind of look at away from that or take that away from the $87 million you earned then but it is also very reasonable, you also didn’t have a lot of storage that you have today as well so there is an offsetting factor in there. And this year if we are not – if we don’t have to take a 1.5 billion bushels of the crop being harvested this year to replenish your depleted inventories which is what I think really hurt the basis last year or didn’t give you the upside in the basis every would you have been expecting, you can get that this year and couldn’t you challenge your $87 million profitability in that business for 2014?
Harold Reed: Yes, first of all, the chart that you talked about they mentioned a couple of times, there is any panic so in case anybody question that. That 2011 year is probably about almost 30% above the next highest year. And that is the wheat income that you noted which is non repeatable. So I think you have to take that out and there isn’t really anyway for the corn market to make up for that non repeated wheat income. So do you have to kind of lay that out first? However, as you did say with 1.5 billion bushel will carry out if you get to the size of crop that we could generate with 93 to 94 million acres of corn planting that carries in the market place and the large carryout that ensue should provide some really good opportunity from our space income, from our space income perspective. There is no question about that.
Mike Anderson: I will add just little color that Eric, one is we still have to get through August September this year. And we have been looking for carry the corn market produce there but not much. We carry as is not bought last spreads like in reverse been and have been inverse so we just can’t get the full year benefit of that even if we recharge the beans. What I want to tell you that, yes, we’ve added more capacity what roughly 30% more capacity, weighted capacity and helps that really great year was 30% above the top of the range, well 30% rating capacity isn’t all usable and the top of the range is what I will call the high ending north so it would be this year, the answer is no to your question. Next year would still be challenging to get that type of a year in total versus starts really a light and it would be the added storage we have not the return on storage.
Eric Larson – CL King: Okay. That’s a very fair comment. The inverse in beans and the inverse in the wheat market it does add some more challenges. It doesn’t mean that all your stars are lining, I mean that make some sense. The final question that I have is, your Green Plain’s acquisition, you have now anniversary that as well, is that delivering the types of returns, however you want to characterize it, I am assuming that it’s accretive to EPS given today’s financing rate, but is it meeting your expectations? Can you give us a little review of how that is performing for you?
Harold Reed: Sure, I will tell you that. I would in an aggregate sense it is probably slightly less than what we would have liked it to be, anticipated to be but it’s actually two very different walls. There is Tennessee cluster of facilities which is doing quite well and we are really enjoying that market place. And have had good weather. There is a set of assets in Iowa that’s in a much tougher competitive neighborhood, have had a little bit less than perfect weather out there. And so the Iowa facilities probably not doing quite as well as we would want and in aggregate sense that’s probably keeping it from performing exactly how we would like it to be.
Mike Anderson: Interesting, Tennessee out much in the weather, we have really good crops down there, booming wheat crops and the whole inverse situation that hurts in total million – I would say was net plus down there and Iowa is more like the rest of our group where what it hope to get through the inverse was more painful than we thought it would be. And I would say Iowa is going to be one of those where we got to get through this year and see where the crop is because that great land, great production, great customer set out there but we had some road blocks, hurdles that we haven’t got –
Eric Larson – CL King: And Iowa and Iowa, particularly in the northeastern portion of the state, really had some difficult growing conditions and poor – Iowa wasn’t optimal production last year either so that probably was another challenge.
Harold Reed: Right, exactly.
Eric Larson – CL King: Okay, thank you, guys. I will go back in the queue.
Operator: Our last question is from the line of Paul Massoud from Stifel Nicolaus & Company. Please go ahead Paul.
Paul Massoud – Stifel Nicolaus & Company: Hi, thanks for taking my question. I was wondering if you could talk a little bit about the outlook for potential divestitures. I know you have been pretty opportunistic with both M&A and selling a stake like you are doing with Lansing at the right price, but I’m just curious how you think about selling off assets especially assets that are probably outside of – out of the grain group and that generally aren’t necessarily turning a profit?
Mike Anderson: It’s Mike, we will turning out little capacity, beside at Lansing we also sold a chunk of railcars last year and that was lot easier to manage as a portfolio, in general we are not much of divesture although we will periodically close or sell, we don’t – we are not here with what I call planned to divest, if we think that something makes some sense we will address it, we are more on the acquisitive side and taking the assets that we haven’t approve them.
Paul Massoud – Stifel Nicolaus & Company: Okay. Going back to ethanol, I know you talked a little bit about the export side. I don’t know that I heard you give an estimate for what you think exports might look like this year. Is that a number that you put out there?
Harold Reed: We don’t, we didn’t put any official number out there. Based upon the recent 60 days – the other thing you have to realize that data doesn’t come to the market place until 60 days after it occurs, so that – it’s really kind of bit of black hole information otherwise pretty informative world. But people have been talking about as much as billion gallons for the year. That said the higher range of what anything we ever done in the past but some of the monthly number here recently suggest that maybe we could to get to that number so billion gallons of export demand would really keep this market chugging away pretty strongly so to make to meeting demand so.
Paul Massoud – Stifel Nicolaus & Company: And I guess apart from just capacity, are there logistical issues that would make it tough to get to that point or logistically, could we do – could the U.S. export more than that?
Harold Reed: The U.S. can export the billion gallons pretty easily with the current infrastructure that we have.
Paul Massoud – Stifel Nicolaus & Company: And then finally just on – going to the nutrient group. You talked about some price moves starting to move in the other direction. I guess as opposed to down like we have seen for the last few years. But in particular I was curious if there was one nutrient that remained through more than others or two that are moving more than others? We have seen some of the potash producers announce some price increases. I know there have been some seasonal upticks just based on demand. I guess I am curious as to how that really factors – filters into where you are in the chain and –
Harold Reed: That’s good. I think what we have noted here in the last month or so is it upticking your real pricing a little bit of phosphate increase here recently, nothing substantial but a little bit, so I think the next month is probably more critical as to what we see as people start to get ready to feel for spring season so but those may be the two we have seen a little bit of improvement in – early in the year.
Paul Massoud – Stifel Nicolaus & Company: Thank you.
Operator: We have no further questions in the queue. Ladies and gentlemen, that concludes our call for today. Thank you for joining. You may now disconnect.
Mike Anderson: I want to thank you all for join, I also want to mention those who are interested there are seven appendix slides to this presentation available on www.andersonsinc.com website at the Investor’s tab under the fourth quarter and yearend earnings call replay. Our next conference call schedule for Thursday, May 8, at 11 AM Eastern Time to review our first quarter 2014 results. We hope you are able to join us again at that time. Till then have a wonderful day.